Operator: Ladies and gentlemen, welcome to the Retail Opportunity Investments 2021 Fourth Quarter and Year-End Conference Call.  Participants are currently in a listen-only mode. Following the company’s prepared comments the call will be opened for questions  Please note that certain matters discussed in this call today constitute forward-looking statements within the meaning of federal securities laws. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, the company can give no assurance that these expectations will be achieved. Such forward-looking statements may involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from future results expressed or implied by such forward-looking statements and expectations. Information regarding such risks and factors is described in the company's filings with the Securities and Exchange Commission, including its most annual report on Form 10-K. Participants are encouraged to refer to the company's filings with the SEC regarding such risks and factors as well as for more information regarding the company's financial and operational results. The company's filings can be found on its website. Now I would like to introduce Stuart Tanz, the company's Chief Executive Officer. You may begin.
Stuart Tanz: Thank you, and good day, everyone. Here with me today is Michael Haines, our Chief Financial Officer; and Rich Schoebel, our Chief Operating Officer. We are pleased to report that during 2021, we successfully achieved a number of strategic objectives capitalizing on the strength and appeal of our grocery-anchored portfolio as well as our West Coast expertise. Notwithstanding the second year of uncertainty in the marketplace as COVID cases ebb and flow, our portfolio and lease rate remained rock solid. In fact, we steadily increased our portfolio lease rate as we move through the year, finishing 2021, just shy of the record high lease rate that we achieved prior to the pandemic starting. Additionally, demand for space across our portfolio remained consistently strong throughout the year. We leased over 1.4 million square feet in total, which like our strong portfolio lease rate was close to setting a new record for the company in terms of overall annual leasing activity. With respect to re-leasing rent spreads for the ninth consecutive year, we achieved double-digit rent growth on same-space new leases signed during the year, including a 27% increase on new leases signed during the fourth quarter. With respect to renewal activity, this past year proved to be our most active to date setting a new record for the company in terms of the number of renewals executed during the year while also achieving rent increases on renewals, which, like new leases, was the ninth year in a row of achieving rent growth. Turning to our investment program. When the pandemic started in early 2020, we suspended our acquisition and disposition activity as there was considerable uncertainty in the marketplace, uncertainty that lingered well into 2021. During this time, we continue to be actively engaged, closely monitoring the market as well as maintaining an open dialogue with key relationships in each of our core markets up and down the West Coast. As a result of staying engaged and ready once the market began to become active again in the second half of 2021, we were well positioned to move forward and pick up right where we left off. Both with completing our exit of the Sacramento market, so on our last two properties and redeploying the capital into new acquisitions. Specifically, we acquired four grocery-anchored shopping centers totaling $122 million three of which we acquired in the fourth quarter. Two of the shopping centers we actually owned and operated during our Pan Pacific days. Needless to say, we know the properties extremely well. In fact, a number of the necessity-based tenants at the center today are those that we brought to the properties back over 15 years ago. The other two acquisitions we sourced through long-standing relationships. One of the properties we source through an existing tenant that we've known for years. While they hadn't contemplated selling, we reached out to them and started a dialogue, which then led us to buy in the center. Importantly, these new acquisitions are an excellent fit with our existing portfolio. They are situated in our core markets, one being located in the San Diego market, one in the heart of Silicon Valley and two are located up in the Seattle market. Within each of these markets, the properties are well established in the heart of affluent communities in all four shopping centers featuring strong grocery operators that are long-standing existing tenants of ours. In terms of pricing, the overall blended yield on the $122 million of acquisitions is approximately 6% going in. We already have a number of new tenants lined up to take available space and we also have our sights set on a number of retenanting opportunities, which we hope to bring to fruition over the next 12 to 24 months that will increase our yield as well. Additionally, looking out further, we expect to drive cash flow higher over time as certain anchor leases roll that are currently well below today's market rents. While working to advance our investment program, we're also working to enhance our balance sheet. During 2021, we raised $139 million of capital through a combination of property dispositions and issuing equity through our ATM. We utilized the capital along with cash flow from operations to fund acquisitions and to reduce debt. Lastly, in light of our performance, the Board has raised our quarterly cash dividend to $0.13 a share, representing an 18% increase over our prior quarterly dividend. Now I'll turn the call over to Michael Haines, our CFO, to take you through our financial results for 2021 as well as our guidance for 2022. Mike?
Michael Haines: Thanks, Stuart. GAAP net income attributable to common shareholders for the year ended 2021 totaled $53.5 million, equating to $0.44 per diluted share. For the fourth quarter, net income totaled $8.5 million, equating to $0.07 per diluted share. In terms of funds from operations, FFO in 2021 totaled $127.9 million, equating to $1 per diluted share, which was towards the higher end of the guidance range that we established at the outset of 2021. FFO for the fourth quarter totaled $32.6 million or $0.25 per diluted share. Same-center net operating income increased by 3% in 2021 on a cash basis as compared to 2020, which was at the top of our guidance range. Additionally, same-center NOI increased by 5.6% during the fourth quarter. With respect to bad debt for the year, bad debt totaled $2.8 million, equating to about 1% of total rental revenue which was close to being back down in line with our annual bad debt prior to the pandemic. Turning to our balance sheet. As Stuart touched on, during 2021, we raised $139.3 million of capital. $69.7 million of that came from property dispositions, while $69.6 million came from issuing approximately 3.8 million common shares through our ATM, including issuing approximately 1.3 million shares in the fourth quarter. We used a portion of the proceeds to reduce our debt by roughly $49 million during 2021. At year-end, the company had approximately $1.3 billion of total principal debt outstanding all of which was effectively fixed rate. So we have no floating rate exposure as we start 2022. Additionally, approximately 94% of our debt is unsecured. We currently have just $85 million of secured debt and total outstanding, which encumbers only 4 of our 89 shopping centers and about $23 million of the $85 million matures this year. The remaining $62 million of secured debt matures in 2024 and 2025. With respect to our $600 million unsecured revolver at year-end, we had nothing outstanding on our credit facility. In terms of financial ratios, specifically the company's net debt to annualized EBITDA ratio a year ago, the ratio was 7.5 times for the fourth quarter of 2020, which we lowered 7.3 times in the first quarter of 2021, and we lowered it again to 6.9 times in the second quarter and then down to 6.6 times for the third quarter. For the fourth quarter of 2021, the ratio of net debt to annualized EBITDA was 7 times. The increase from Q3 was largely attributable to the timing between selling properties in the third quarter and acquiring new properties during the fourth quarter, which temporarily impacted annualized EBITDA. We currently expect the rate to be back in the 6s again starting here in the first quarter, and our goal is to keep it in the mid-6 range going forward. Looking ahead, we are starting out 2022 with an FFO guidance range of $1.02 to $1.08 per diluted share. In terms of the key underlying drivers, the low end of the range assumes that we acquire $100 million of shopping centers during the year and sold $50 million of properties, while the high end of the range assumes that we acquire $300 million and sold $30 million. We intend to finance the acquisitions through a blend of property dispositions, additional equity and credit line borrowings. Our guidance is based on keeping our financial ratios intact. In terms of our existing portfolio, the low end of the range assumes that the same center NOI increases by 2% for the year, while the high end assumes a 4% increase. Lastly, in terms of bad debt, to be conservative, the low end of the range assumes bad debt of $4 million for the year while the high end assumes $2 million of bad debt, which is consistent with our historical annual bed debt before the pandemic. For perspective, our actual bad debt for 2019 was roughly $2 million. Now I'll turn the call over to Rich Schoebel, our COO. Rich?
Rich Schoebel: Thanks, Mike. To expand on Stuart's comments regarding the demand for space, as we experienced in 2020 during the height of the pandemic uncertainty in 2021 demand for space remained consistently strong across our portfolio in core markets. The demand continued to be driven by a broad range of daily necessity, service and destination type businesses seeking to grow in a multitude of ways, including deepening their presence in key markets, expanding into additional West Coast markets as well as businesses entering the West Coast from other parts of the country. Capitalizing on the demand during 2021 released over 1.4 million square feet, which is more than double the amount of space originally scheduled to expire at the outset of 2021 and represents the 11th consecutive year that we have leased approximately 2 times the amount of space originally scheduled to expire. Our leasing activity drove our portfolio lease rate higher each quarter as we move through the year, as Stuart indicated, going from 96.8% at the beginning of 2021 to finishing the year at 97.5%, very close to matching a record high lease rate of 97.9% that we achieved at the end of 2019. Breaking the 97.5% down between anchor and nonanchor space, our anchor space remained at 100% leased throughout 2021. In fact, we have maintained our anchor space at 100% leased every quarter for the past 5 years now. Notwithstanding being 100% leased, we continue to be proactively engaged with our anchor tenants. In terms of anchor leasing activity, at the outset of 2021, we had four anchor leases scheduled to expire during the year, totaling 104,000 square feet. We actually executed 16 anchor leases totaling 469,000 square feet. 14 of the leases were renewals, the bulk of which involved renewing long-standing, strong performing supermarket and pharmacy tenants. Additionally, through our early recapture initiatives, we replaced two anchor tenants. We released one of the anchor spaces to a new destination tenant and the other we release to an adjacent long-standing grocer. In both cases, we released the spaces for 10 years and had a notable increase in rent. In terms of non-anchor space, during the year, we increased our nonanchor lease rate from 93% at the beginning of 2021 to 94.6% at year-end. Just as with our anchor tenants, we achieved the increase in our nonanchor space by being highly engaged and proactive. At the outset of 2021, we had 573,000 square feet of nonanchor space scheduled to expire. For the year, we leased 959,000 square feet of nonanchor space, which is a new record for the company. The activity involved the balance of renewing a number of strong performing tenants, while also proactively replacing tenants that struggled as a result of the pandemic with much stronger new tenants. While we continue to work to make the most of every opportunity to lease space and enhance our tenant base, we also continue to work at getting new tenants open and operating. During the fourth quarter, new tenants representing roughly $2 million of annual base rent opened. While the $2 million was the largest, most active quarter during the year, the economic spread between leased and build space actually widened by year-end, given all of our new leasing activity during the fourth quarter. At year-end, the spread stood at 4.7%, representing $10.6 million in additional incremental annual rent on a cash basis. Of that $10.6 million, we currently expect new tenants representing as much as $2 million to possibly $3 million of incremental rent will open here in the first quarter. In terms of re-leasing rents, as Stuart indicated, for the ninth consecutive year, we achieved rent growth. Specifically, for the year, we achieved a 14.9% increase on a cash basis with respect to same-space new leases signed during the year, including a 27.1% increase in the fourth quarter. In terms of renewals, we achieved a 4.3% cash increase for the year, including a 4.8% increase in the fourth quarter. Turning to 2022, starting out the year, we had 745,000 square feet of space scheduled to expire, including seven anchor leases totaling 272,000 square feet, five of which are grocers. We have already renewed three of the grocers, and we are currently discussing long-term extensions with the other two grocers. With respect to the other two anchor leases, one has already renewed their lease and the last anchor we already have released the space to a grocer. Lastly, with respect to our patent expansion initiatives, during the past year, we completed and delivered 100% leased, four projects totaling approximately 25,000 square feet for a total cost of $8.7 million with an initial yield of 11%. Looking ahead, we currently have nine pad and expansion projects in the works, totaling approximately 44,000 square feet, which we expect to complete later this year and in 2023. Now I'll turn the call back over to Stuart.
Stuart Tanz: Thanks, Rich. As 2022 is getting underway, leasing activity across our markets continues to be strong, and we continue to focus on making the most of it. Additionally, as Rich discussed, we are making good progress with getting new tenants open. In terms of acquisitions, we are currently seeing an increase in gross anchored shopping centers coming to market, which we expect will garner plenty of attention. While we are closely following the open market, our primary focus continues to be in seeking out privately owned off-market transactions. To that end, we currently have two grocery-anchored shopping centers under contract both located in the Pacific Northwest that together totaled $36 million. We also have two other acquisitions currently in our pipeline, both located in California, which we are currently underwriting and hope to have under contract soon. Beyond that, we continue to proactively pursue a number of additional targeted opportunities across our markets. While we are excited to be actively acquiring again, we intend to continue, as always, our long-standing disciplined strategy of carefully seeking out compelling opportunities that will enhance our existing portfolio and provide the company with a balance of long-term stable cash flow and good growth opportunities for years to come. With respect to densification, we are on track to start construction later this year on our second densification development at Crossroads, where we will be adding 224 apartments and 14,500 square feet of additional retail space to our center. Additionally, we are in the latter stages of the densification in talent process at two other shopping centers, both located in the San Francisco market which we currently expect to finalize this year. Looking out further, we are in discussions with municipalities on three additional densification projects all in the Pacific Northwest. Each project involves coordinating with neighboring properties. We are working with the municipalities and putting together a comprehensive mixed-use development plan. The municipalities continue to be proactively engaged and are pushing to move forward given the housing shortage in the markets. Finally, while we currently expect 2022 to be a productive and active year, we are cautious in our outlook given the continued uncertainty regarding COVID and what could lie ahead. That said, given the proven resiliency of our grocery-anchored daily necessity portfolio and strategy, in the face of extraordinary challenges over the past two years, together with the skill set and expertise of our team, expertise earned by our team's singular focus on the same core strategy in the same core markets for over 25 years now, we remain confident in our ability to continue building value going forward, and we remain as committed as ever in doing so. Now we will open up the call for your questions. Operator?
Operator:  Our first question comes from the line of Craig Schmidt with Bank of America. Your line is open.
Craig Schmidt: What are your expectations regarding leasing volumes? I know you picked up in '21, and you mentioned the $1.4 million over the $1.2 million in 2020. Do you think you can hit that $1.4 million? Or are there certain things that will keep you from getting into that level again?
Rich Schoebel: I mean we expect that our leasing activity will be consistent with the past. I think the thing that changes year-to-year, Craig, is certain opportunities that arise that we may not have on our radar screen, which gives us the opportunity to lease a much larger amount of square footage than scheduled to expire, which I think you've seen in our historic numbers. So I think it's going to be consistent with past years. .
Craig Schmidt: Okay. And then recognizing the 6% cap rate you paid in $123 million, do you anticipate you'll be able to pay a similar cap rate for acquisitions in '22?
Rich Schoebel: In terms of guidance, we are assuming a 5.75 cap rate on average Craig.
Craig Schmidt: Okay. Is that a result of the compression or just the projects you're looking at?
Rich Schoebel: It's a combination of market conditions and what we see in our pipeline in terms of what we -- how we've guided. 
Craig Richard Schmidt: Great. And then just finally. Are you hearing from your tenants, any chatter on inflation or the federate height COVID or Ukraine, possibly slowing their elevated leasing activity? 
Rich Schoebel: That really aren't hearing on any of those things that you mentioned, Craig from the tenant base? That really what tenants are looking for is great opportunities. If we were to get back a restaurant space, we have upwards of 10 people buying for the space. So really people are just focused on their businesses and securing the best locations. 
Operator: Thank you. Our next question comes from the line of Katy McConnell with Citi. Your line is open. Your line is open.
Katy McConnel : Since your least commenced pipeline continues to grow. Can you just discuss what this could mean for total commenced occupancy upside this year? And do you think that spread has hit a peak at this point or is there more room for that to grow based on that leasing activity you're seeing today? 
Rich Schoebel: Again, I think it's really dependent on the opportunities that are present themselves. I think as you see in some of the numbers from last year, where we had replaced an anchor tenant who was paying very, very low rent, and we were able to get that up to a market rent and which creates a very large spread that will take a little bit of time to refit the space and get that spread in. It's a little hard to predict, but we would say that, we would expect that we will get most of this $10 million in throughout the year. But the total number will vary depending on the opportunities that we find throughout the year.  And in terms of occupancy, Katy, if the demand in the market continues to be as strong as it is. We're anticipating hopefully hitting our goal of where we were before the pandemic hit, which would be approaching 98% occupancy. .
Katy McConnell: And then can you just provide a little more detail on what drove the significant uptick in new leasing spreads this quarter? And maybe elaborate on your comments earlier about the upcoming lease expirations and the significant mark-to-market upside you see there?
Rich Schoebel: Sure. Again, I think it was sort of the same situation I was just commenting on. We had in -- for the fourth quarter, we had an anchor tenant who had a very, very low rent. The lease came up finally, with no options remaining, and it gave us the opportunity to bring that space up to a market rent, which drove the big spread. And those opportunities remain throughout the portfolio. It's just always hard to predict the timing of when you're going to be able to capitalize on the opportunity
Katy McConnell: And then maybe just one more quick one, if I could. Can you just walk us through how you plan to fund the external growth pipeline this year, some of the different components you're planning to utilize?
Michael Haines: Katy, it's Mike. I think we'd look to fund the acquisition pipeline a combination of disposition proceeds, a bit of ATM and some credit line borrowings, kind of a blend of that and operating cash flow. And again, like I mentioned in the prepared remarks, keeping our ratio is intact as well.
Operator: Our next question comes from the line of Juan Sanabria with BMO Capital Markets. Your line is open.
Juan Sanabria: I was just hoping give a little bit more color on guidance on the assumptions around occupancy trends throughout the year and re-leasing spread expectations, what you're assuming and how we should be thinking about that going forward for the next 12 months?
Rich Schoebel: Sure. Well, in terms of our portfolio lease rate, we're assuming that the portfolio lease rate will hold reasonably steady throughout the year in the 97% range. And assuming that the spread between lease versus build will tighten up as we move throughout the year.
Michael Haines: And re-leasing spreads.
Stuart Tanz: In terms of the spreads, we would expect that, that's going to be in the 15% to 20% range on new leases and around 5% to 10% on renewals is what we're estimating.
Juan Sanabria: And then I was just hoping you could provide a little bit more color about how we should be thinking about the potential capital outlays for some of the entitlements. You mentioned some apartments in retail expansion in Crossroads and being late stage for a couple of San Francisco opportunities. So just hoping you could delve a little deeper into what we should be thinking ROIC's commitment to those would be and/or use of partners?
Stuart Tanz: Sure. Well, certainly, on the one project in Crossroads, we don't anticipate much capital because we -- this project probably won't start until the fourth quarter of the year. So we're not into paying much capital at Crossroads. In terms of the other two projects, we're almost at the finish line in terms of entitlements. Those dollars obviously have been spent. And once we get those entitlements, we are anticipating selling those projects to help fund our acquisition program. Again, both those projects have no impact from an NOI perspective.
Juan Sanabria: And are those potential dispositions included in your disposition guidance you laid out? Or would that be incremental? I guess, or part B of that question would be what yield expectations should we have on the disposition guidance?
Stuart Tanz: Well, it's land not lanso there's not much yield to talk about. But we're anticipating probably around $25 million in terms of proceeds on those two projects. And
Michael Haines: And on the higher end of the range as far as dispositions, if we were going to -- what's the cap to apply for.
Stuart Tanz: We're anticipating in terms of cap rates on other assets that we are teeing up to sell to be that those transactions will probably be in the mid-5 or lower 5% range. .
Juan Sanabria: But just to clarify, the dispositions in guidance are selling the land that's behind entitlements or selling more stabilized assets?
Stuart Tanz: The combination of both -- it's both.
Operator: Our next question comes from the line of Todd Thomas with KeyBanc Capital Markets. Your line is open.
Todd Thomas: Stuart, I appreciate some of the comments around what you're seeing today for acquisitions. It sounds like there's a bit of product coming to market more than there has been it seems in many years. From your comments, it sounds like we should expect ROIC to continue with off-market sort of one-off deals as opposed to any of the properties and portfolios that are hitting the market. Is that right? And then can you talk about the process of sourcing deals off market today in an environment where sellers are seeing an increasing bid for retail properties?
Stuart Tanz: Sure. Overall, demand in the market is very strong. We are anticipating that a lot of our growth will come from what we would call one-off or buying two assets from an owner versus portfolios. And the overall market continues to be somewhat challenging in terms of the buyer demand. Buyers are across the board, institutional capital, 10/31 both private and institutional. But the market, the good news is that we've been working very hard over the last 6 months sourcing a lot of different opportunities. And the year right now looks pretty good in terms of meeting our goals. .
Todd Thomas: The 6% going in cap rate, though on the '21 acquisitions, the four properties acquired sounds a little bit higher than what we're hearing and sort of seeing for high-quality grocery-anchored product. Can you just speak to that sort of premium and pricing that you're able to achieve and sort of the process of, again, sourcing deals in an environment off-market when sellers are able to maybe achieve a little bit of a better price just given the increasing bid around retail properties today?
Stuart Tanz: Sure. Well, Todd, there are several reasons. I mean, first, the transactions that we are pursuing, again, are off-market direct-to-owner deals. And again, with private owners, and these owners are really seeking buyers who don't require financing contingencies and can close quickly. And there'll also be a bit more reasonable on price and return for that. Additionally, the properties typically have some near-term tenant rollover and CapEx that the private owners don't want to contend with and some perceived risks that we, again, are willing to be more reasonable and which makes them more reasonable in terms of price. So it's a combination of all of that. And of course, after 30 years doing this day in and day out on the West Coast, our relationships are very, very deep in terms of sourcing these transactions.
Todd Thomas: And then I appreciate the color, Rich, around the $22 million anchor expirations. It sounds like tenant demand is quite healthy. If we look ahead to '23, where you have 25 anchor expirations, a little bit of a higher year for anchor expirations. I know it's a little further out, but you've been proactive in prior years in recapturing space, executing renewals ahead of exploration and sort of unlocking value and below market leases. Are you expecting in this environment today to be able to get at those leases maybe this year? And can you just give us a sense around how much of the 23 anchor expirations do not have options?
Rich Schoebel: Well, in terms of the last part of your question, I don't have that right in front of me in terms of who has and has not an option. There's probably a handful in there that do not have any options remaining. But I think similar to our past history, we are already fully engaged with our anchor tenant base. We -- As you know, almost all of these are going to end up being grocers or drug stores. And I think coming out of the pandemic, what these grocers have realized is they want to secure these spaces for as long as possible. So our national grocery tenant base has been -- and we've been working with them for the last 3 to 4 months on full portfolio reviews. I would expect that much of this will be of the '23 expirations will be handled this year through those discussions.
Todd Thomas: And just one for Mike, real quick. I think I think you may have said this -- sorry if I missed it, but you talked about a little bit of the balance around capital raising throughout the year and investments. I realize there's a little bit of a range there. But what are you expecting leverage to look like at year-end?
Michael Haines: The net debt to EBITDA perspective, keep it in the -- with the 6 handle for sure. Yes.
Operator: Our next question comes from the line of Paulina Rojas-Schmidt with Green Street. Your line is open.
Paulina Rojas-Schmidt: And my question is about your needs to occupied spread. So you mentioned that this spread today is at 4.7%, which is the widest among your peers by an ARPU margin, if I remember well. Could -- of course, this could be a good sign, right? And so that you have more physical occupancy gains around the corner but it could also suggest that it's taking longer to get tenants open. So I'm tricked by how ample this margin is the spread is. Are you seeing any delay in openings? Or can you share in general, your thoughts about this?
Rich Schoebel: I mean I think what you're seeing in those numbers is some delays that occurred last year due to the pandemic and the cities permitting process. We spend a significant amount of time focused on getting these tenants open and operating as quickly as possible. And we feel very optimistic about how the year has started out and the openings that we see on the horizon. I think we try to be conservative in our estimation of what's coming on. But we think that those delay issues that occurred during the pandemic are primarily behind us, and that we will make very good progress throughout this year in bringing in that $10 million. .
Paulina Rojas-Schmidt: In regards to operating expenses, and -- so expenses net of recoveries were a meaningful drag to 21 same-property NOI growth. What are you expecting for next -- for this year? Is there an expected impact negative positive due to higher occupancy and higher recoveries or neutral?
Rich Schoebel: I don't think -- this is Rich. I don't think we see a big change in the expense recovery. Obviously, as these tenants come online, that there's a bit of a lag in that $10 million as well. The $10 million is base rent, but those tenants are also not paying us recoveries. So as that $10 million comes on, the recovery rate will increase as well. .
Michael Haines: Yes, margins are going to go up as these tenants open.
Paulina Rojas-Schmidt: So -- yes, okay. So net of all in expenses and recoveries, we shouldn't expect a negative impact.
Stuart Tanz: Correct. You should not expect a negative impact. .
Paulina Rojas-Schmidt: And then if I may squeeze one more. Are you tricked by your acquisition of Olympia West Center. If I'm correct, this was a property where Kimco had a minority interest. So I would assume that Kimco has the right -- the right to make the first offer. So if this right, am I correct? And two, broadly speaking, what could your eye about this property specifically? Why did you speed as a good investment?
Rich Schoebel: So Olympia West is a property that we owned back at Pan Pacific. We knew the property very, very well. I think as you're touching on the Kimco did have an interest in the property, but it was a minority interest. And what attracted us to the property is how well we know it. We know the marketplace I think as we touched on in the prepared remarks, some of those tenants we put in there 10 years ago, 15 years ago. So it was a great opportunity to acquire a grocery-anchored center in the Seattle metro market. .
Operator: Our next question comes from the line of Michael Gorman with BTIG. Your line is open.
Michael Gorman: Stuart, I was wondering if you could talk a little bit more about the market dynamics that you're seeing and maybe join together the densification side of ROIC and what you're seeing in the marketplace. Obviously, you're focused on the off-market deals, but in the marketplace, are you seeing more competition in these markets from nonretail buyers, people that are looking to come in and do something else with the asset entirely. We've seen a handful of trades where the folks taking these out are not looking at the retail economics at all. And I'm just wondering how prevalent that is in your markets right now?
Stuart Tanz: The answer is yes. We have seen the buyer profile change as the market opened up 6 months ago where the number of buyers increased considerably, but the profile were buyers that really had invested more heavily in other sectors where they were paying cap rates that were a lot lower. And I think a lot of these virus felt that in order to find better yields, they could turn to retail and get those better yields with less risk. That's the key point is less risk. I think before the pandemic, those buyers really weren't focused in the retail sector. But today, that depth of -- and that profile has changed quite dramatically. I don't see that changing until we see a shift in the other sectors right now. And that's what we're seeing right now on the ground. .
Michael Gorman: And then I guess the follow-up there is, are there any -- when you went through the densification kind of review a couple of years ago? Were there any assets in your portfolio that you think would -- whether they're stabilized on your end or whatever the case may be, would be a potential target for somebody that would look to do something completely different with it other than retail even with some density on it?
Stuart Tanz: The answer is yes. However, Todd, you got to remember that the average square footage of our portfolio because we own, let's call it, primarily just grocery drug-anchored assets. These assets are on average are about 120,000 square feet. So we're not dealing with properties that have a lot of land. . So the answer to your question is there's probably some inherited value in some of the properties we own in terms of full densification However, it's complicated. It takes time. And more importantly, there's not a lot to work with from a land perspective in terms of creating that huge difference in value.
Michael Gorman: And then just one last one for Mike or Rich, and I apologize if I missed it. With the discussion of the leased versus occupied spread, how much of a compression is baked into that 3% same-store NOI guidance for the year?
Rich Schoebel: Compression on which
Michael Gorman: So how much
Michael Haines: How income online, probably the bulk of it is
Rich Schoebel: Yes. In the guidance, it's going to assume that the bulk of that is coming online by the end of the year. During this year, yes.
Stuart Tanz: It's about 85%, almost 90%, Todd
Operator: Our next question comes from the line of Mike Mueller with JPMorgan. Your line is open.
Mike Mueller: I have a follow-up here. On your build occupancy of 92.8%. What do you see as the ceiling on that? And then how close could you get to it, say, by the end of '23.
Rich Schoebel: Well, I mean, I think, again, by the time we get through '23, we'll have added to the pool. I mean we would expect that we could narrow that gap because I think there will be probably more a lot of this built up, 10 million will have come online and we don't expect that it'll get back up to that level again. So, there will be a bit of compression. But there'll always be somebody waiting to open and pay rent.
Stuart Tanz: Right. And in terms of being proactive rather than reactive, as you know, we tend to stay ahead of the tenant base. So, as leases expire with no options and leases come up for renewal, we will continue what we have done in the past in terms of trying to get better spreads. And that could have some impact, not much in terms of that number, long-term, Mike.
Operator: Thank you. Our next question comes from the line of Linda Tsai with Jefferies. Your line is open.
Linda Tsai : Hi. Good morning. The midpoint of guidance for bad debt, the $3 million, about inline with 2021. I'm guessing that reflects conservatism, because it seems like the watch list for most is pretty limited, or are there some tenants where you could see more fallout?
Rich Schoebel: No, it's conservative.
Linda Tsai : And then, any thoughts on the Donahue Schreiber deal? Just wondering what you thought on the price it's purportedly selling for a sub 5% cap rate and the its geographic footprint is similar to ROIC's.
Rich Schoebel: Well, it's hard to say, I mean, neither the buyer or seller has commented. So, what we have heard in the marketplace is that, it traded in the Sub 5 cap rate. And look, both portfolios are similar in many respects. Although there are some key differences when you look at each property individually in terms of specific shopping center type market characteristics and tenants.
Linda Tsai : Okay. So no kind of qualitative view on the Sub 5. 
Rich Schoebel: No. Again, right now this is what we put in the market place. Nothing is been formally announced.
Operator: Thank you. I’m showing no further questions in the queue. I will now like to turn the call back over to Stuart for closing remarks.
Stuart Tanz : In closing, I’d like to thank all of you for joining us today, we greatly appreciate your interest in ROIC. If you have additional questions, please contact Mike, Rich or me directly. You can also find additional information in the company's quarterly supplemental package, which is posted on our website. Thanks again, and have a great day, everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.